Operator: Greetings and Welcome to the Greif Inc Second Quarter 2012 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Debra Strohmaier, Vice President of Corporate Communications for Greif. Thank you. You may begin.
Debra Strohmaier : Thank you, Kristine, good morning. As a reminder, you may follow this presentation on the web at Greif.com in the Investor Center under Conference Calls. If you don't already have the earnings release, it is also available on our website. We are on Slide 2. The information provided during this morning's call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are on Slide 2 of this presentation in the Company's 2011 Form 10-K, and in other Company SEC filings as well as Company earnings news releases. As noted on Slide 3, this presentation uses certain non-GAAP financial measures, including those that exclude special items, such as restructuring charges and acquisition-related costs, and EBITDA before and after special items. EBITDA is defined as net income, plus interest expense net, plus income tax expense, less equity earnings of unconsolidated subsidiaries, net of tax plus depreciation, depletion and amortization expense. Management believes the non-GAAP measures provide a better indication of operational performance and a more stable platform on which to compare the historical performance of the Company, than the most nearly equivalent GAAP data. All non-GAAP data in the presentation are indicated by footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end of this presentation and in the second quarter 2012 earnings release. Giving prepared remarks today are in order of speaking, Senior Vice president and CFO, Rob McNutt; and President and CEO, David Fischer. I will now turn the call over to Mr. McNutt.
Robert M. McNutt : Thank you, Deb. We're on Slide 4. During the second quarter we continue to focus on three key priorities which include increasing cash flow, improving working capital management, and successfully integrating recent acquisitions. The $161 million of cash from operations generated during the three months ended April 30 is a second quarter record and compares with $56 million for the same period last year. New accounts receivable credit facility for Europe benefitted second quarter 2012 cash from operations by about $30 million. We remain committed to further improvement in cash flow during the second half of the year. Through the Greif Business System we've been deploying tools and processes to improve our working capital management. We see initial signs of progress that should continue from these efforts. Working capital performance measures are being managed at the plant level in our facilities worldwide and the businesses report monthly on progress to David and me. Acquisition integration is proceeding as planned and initial synergies are being realized. These efforts include development of our three growth platforms of flexible products, drum reconditioning and rigid intermediate bulk containers, David will comment further on these later. The Greif Business System continues to be a catalyst for identifying savings and is also a strong integration tool for realizing synergies. As we enter the second half of our fiscal year, we continue to respond as appropriate to external influences related to the macroeconomic environment and market pressure especially in Europe. This involves implementing specific contingency plans and paying close attention to our cost structure. We're encouraged by the progress achieved thus far and will continue to monitor market by market and take appropriate actions. Please turn to Slide 5. This financial summary highlights key measures of our financial performance in second quarter 2012 compared with the same period last year. The 4% increase in net sales to $1.1 billion benefited from an 8% increase from acquisitions which more than offset a 4% decline on a same-structure basis. Selling prices increased 2% for the quarter, principally due to pass-through of raw material costs. And there was a negative 3% impact attributable to foreign currency translation. Gross profit was $203 million for the second quarter and was essentially flat with a year ago. Gross profit margin decreased to 18.5% from 19.7% for the same period last year, principally due to lower volume and market pressure in Europe in our Rigid Industrial Packaging and Flexible Products businesses. Higher volume and lower input costs in our Paper Packaging business helped to mitigate a portion of that decline. SG&A expenses were $122 million for the second quarter compared with $114 million last year. This increase was primarily due to the inclusion of SG&A expenses for acquired companies and $2.4 million non-cash impairment charge related to properties under contract for sale, partially offset by lower acquisition related costs. Acquisition related costs were about $1 million for the second quarter of 2012, versus $8 million a year ago. Most of last year's amount was related to our Flexible Products business. SG&A expenses were 11.1% of net sales for the quarter compared with 10.8% for the same period last year. Restructuring charges were $10 million for the second quarter of 2012 versus $5 million a year ago. 2012 year-to-year restructuring charges totaled $19 million, which are primarily attributable to implementation of GBS in the Flexible business and rightsizing of our Rigid Industrial Packaging & Services segment in Europe in response to market conditions. These restructuring charges are front-end loaded for 2012 and we still anticipate approximately $30 million for the full year. Operating profit before special items was $86 million for the second quarter 2012 compared with $104 million for the same period in 2011. Lower results in Europe were partially offset by improved performance in the Land Management segment. Net interest expense was $24 million for the quarter compared with $19 million for the same period a year ago. This was primarily due to higher level of debt outstanding related to acquisitions and related working capital requirements. Income tax expense declined to approximately $13 million for second quarter versus $15 million for the same period last year, principally due to decline in pre-tax income in the second quarter 2012 and by a change in global earnings mix. Our annual book tax rate was 28.5% versus 23.5% for 2011. We continue to anticipate cash taxes will be approximately 20% for 2012, which is consistent with prior year. Net income attributable to Greif before special items was approximately $45 million, which represents $0.77 per Class A share for the second quarter of 2012 compared with $61 million or $1.04 per Class A share for the same period a year ago. EBITDA was $111 million for the quarter versus $119 million last year. For the 2012 year-to-date period, EBITDA was $208 million compared with $222 million last year. Please turn to Slide 6. Rigid Industrial Packaging net sales increased 8% to $803 million for the quarter compared with $744 million last year, while same-structure volumes were 4% below a year ago, acquisition added 12% to this year's results. Average selling prices increased 4% for the second quarter 2012 primarily due to the pass-through of higher raw material costs. Prices for our key substrates including cold-rolled steel and high density polyethylene have stabilized during the quarter. Foreign currency translation had a negative 3% impact on sales for the second quarter versus a positive 3% impact a year ago. Gross profit of $147 million for the quarter was slightly above the same period last year. Lower volumes due to the prevailing economic factors in Europe and increased market pressure resulted in a decline in gross profit margins to 18.3% from 19.5% last year. Operating profit before special items was $61 million for the second quarter versus $71 million a year ago. Solid results in North America and Asia partially offset lower results in Europe. Approximately $5 million of restructuring charges were recognized during the quarter compared with $2 million last year. Acquisition-related costs declined to about $800,000 in the second quarter from approximately $3 million for the same period in 2011. I'm now on Slide 7. Net sales for the Flexible Products & Services segment declined approximately 15% to $114 million for the second quarter of 2012 from $135 million for the same period last year. This decline was due to weak market conditions in Europe, which currently represents a significant majority of this segment’s sale. Volumes increased slightly on a sequential quarter basis, but were below the same period last year. Gross profit was $22 million for the quarter compared with $29 million a year ago. Gross profit margin declined to 19.4% of net sales for the second quarter from 21.5% in 2011 primarily due to lower sales volumes versus a year ago. Operating profit before special items was $3 million for the quarter versus operating profit before special items of $10 million last year. This decline was due to lower sales volumes primarily in Western Europe. Please turn to Slide 8 on our Paper Packaging segment. Sales volume increased by 6% for the second quarter compared with last year. The solid second quarter 2012 volume increase was partially offset by modestly lower selling prices versus a year ago primarily due to a change in product mix. As a result, net sales increased 2% to $171 million for the quarter from $167 million last year. Second quarter gross profit was $30 million which was slightly below the same period a year ago. Higher volume and lower OCC costs and lower utilities for the second quarter substantially offset modestly lower selling prices and higher transportation costs compared with last year. Operating profit before special items declined to $14 million for the second quarter from $20 million a year ago. This difference was principally due to a charge of $2.8 million for a correcting adjustment related to third party container board trades in a prior period and a $2.4 million non-cash impairment charge related to properties under contract for sale. Turning to Slide 9, net sales for the Land Management segment were $8 million for the second quarter compared with nearly $6 million a year ago. This increase was due to a sale of development properties in Canada and additional timber sale in the United States that resulted from increased selling opportunities attributable to weather and other supply concerns of key customers. As you know from our historical results, the quarterly amount of special use land sales is influenced by a number of factors that are difficult to forecast precisely. Revenue from recreation, mineral and consulting services increased to 25% of net sales for the second quarter of 2012. Operating profit was $7 million for the second quarter 2012 compared with $2 million for the second quarter of 2011 and included special used property sales of $4 million and $300,000 respectively. The strong second quarter 2012 results do not change our long-term expectations of $10 million to $20 million operating profit annually for the segment. Please turn to Slide 10. Capital expenditures declined slightly to $29 million for second quarter from $33 million last year. As I stated earlier, our focus on cash flow and working capital management is embedded throughout the Company. Working capital was $385 million at April 30, 2012, compared with $475 million at January 31, 2012, and $376 million at October 31, 2011, reflecting normal seasonal increases offset by improved working capital management in our businesses. I'm now on Slide 11. Following a period of significant investment in our businesses we remain focused on improving our cash flow profile and successful integration of acquisitions. Free cash flow, defined as cash from operations less capital expenditures and purchases of timberland, was $132 million for second quarter 2012 compared with $22 million a year ago. We experienced the positive swing of $183 million in cash flow for the first half of 2012 compared with the same period last year. For the first six months of this year free cash flow was $96 million versus negative free cash flow of $87 million last year. Both the second quarter and year-to-date periods in 2012 benefited from $30 million attributable to the new accounts receivable facility noted earlier. The result of our focus on increased cash flow is evident on the right-hand side of Slide 11. At April 30, 2012 net debt was $1.305 billion or $62 million below the year-end 2011 amount and $105 million below the end of first quarter 2012. This past Monday, our Board of Directors approved quarterly cash dividend of $0.42 and $0.63 per Class A and Class B share respectively for the quarter. These dividends are payable on July 1, 2012 to stockholders of record at the close of business on June 20, 2012. Now please turn to Slide 12. For the balance of the year, we expect our Rigid Industrial Packaging business in North America and Paper Packaging and Land Management segments will achieve solid results. Macroeconomic conditions impacting Europe will continue to pressure our Rigid Industrial Packaging and Flexible Products businesses in that region. Contributions from contingency actions, acquisition integration and ongoing Greif Business System initiatives implemented during 2012 are expected to provide additional benefits to the full-year results. Due to the slower pace of the economic recovery in Europe compared with expectations earlier in the year coupled with the currency translation impact of a declining euro, we anticipate EBITDA to be between $500 million and $525 million for 2012. That concludes my remarks. I'll now turn the call over to David Fischer for his remarks.
David B. Fischer : Thank you, Rob. Please turn to Slide 13. During the second quarter, we made further progress by increasing cash flow and continuing to integrate our recent acquisitions, two of our top priorities for 2012. This resulted in a record second quarter cash from operations. As Rob mentioned, cash flow was also a record of the first six month of our fiscal year. We attribute these achievements to a company-wide focus on increasing cash and improving working capital. This focus has been sharpened by new analytical tools that are being embedded in our operations company-wide, all the way to the plant floor level. We expect to make additional progress during the second half of the coming year. Last August, we reported during the quarter's call that we saw the beginning of a downward business spiral in Europe. Now, we see indications of stability in certain countries and sub regions. The initial signs of improvement that we noted in certain regions of the world during last quarter's conference call are still visible. However, a number of issues remain to be resolved before we can be comfortable that a new normal economic outlook is in place. Until then, we continue to execute plans to control those things that we can't control by adapting our cost structure to anticipated sales level through the Greif Business System initiatives, work force and shift pattern adjustments and if necessary further network rationalization. In Europe, we continue to respond aggressively to macro-economic developments and political issues. Much credit goes to Ivan Signorelli and his team, our Division President for EMEA Rigid operations. They are monitoring the horizon for indication of market changes up or down as scaling their individual operations to local demand and forecast as needed. Further, our Flexible business with the majority of it sales currently in the Eurozone continue to position for expansion in the new markets globally with new products. At the same time they continue to enhance existing operations with GBS initiatives and network rationalization. While our businesses operating in North America achieved solid results for the second quarter, the pace of global economic recovery remains uneven and stubbornly slow to accelerate. I'm now on Slide 14. The successful integration of our recent acquisitions is one of our priorities for 2012 and these efforts are well underway. Last year, we acquired pack2pack to expand our new Rigid Industrial Packaging reconditioning business. We also acquired Fustiplast, which significantly strengthened our product offering, a rigid intermediate bulk containers. We are actively implementing plans to achieve synergies and embed the Greif Business System into these operations and rightsizing operations to the cost structures that reflect macroeconomic challenges. Although our integration initiatives have been more challenging due to the exposure of these businesses to Europe, we are nonetheless making progress and remaining focused on achieving our long-term goals. Customer requests for sales based on the combination of new and used drums in our EarthMinded Life Cycle Services drum reconditioning business are increasing. This reflects a broader trend by our customers towards sustainability objectives and recognition of Greif's long-term commitment to this business. In addition to implementing integration initiatives in both North America and Europe, the LCF team is working with our new Rigid Industrial Packaging sales staff in both regions and they have secured important customers wins. Also we have recently added a Fustiplast production line for Rigid IBCs in our EMEA Industrial Packaging business and are developing additional lines for a disciplined staged rollout in our businesses worldwide. This will increase our customer's access to unique rigid intermediate bulk containers with Fustiplast innovative design and desired product quality attributes. I’m now on slide 15. Safety is the first priority for us and is ingrained in our corporate culture. We reinforce this commitment daily by seeking to continuously improve Greif’s overall safety record. For example, meetings at the beginning of each shift start with a discussion of safety at all of our nearly 300 plants worldwide. Through proprietary technology developed for us, management can now monitor safety performance measures and trend analysis in real time. We also deployed best practices throughout our facilities as an integral part of the Greif’s business system. Medical case rates, which measures the number of incidents to total hours worked, is a common ratio used to monitor safety trends. Although we recognize that medical case rate monitoring isn’t enough to measure the effectiveness of a safety program, it’s a good start. Still, our improvement is significant. To date, we have improved by 17% over last year and a full 63% from our metric four years ago. This 63% reduction is very gratifying to us as it includes a number of acquired facilities which typically enter our network with much higher insert rates than the typical heritage Greif sites. While we are encouraged by this progress, we know there is much more to be accomplished to achieve a zero medical case rate which has always been our goal. To help achieve our goal, we established a global safety skill team comprising of safety professionals for each one of our businesses located throughout the world. This team now meets regularly and is committed to taking our safety culture to the next level where all employees recognize that safe production is our absolute priority. Now on slide 16. Overall, we are encouraged by the progress we achieved during the second quarter and the first half of 2012 concerning our goals of increased cash and successful acquisition integration. We look forward to reaching additional milestones this year that will help improve performance, further strength in the balance sheet and position us for more profitable growth in the future. This concludes our prepared remarks. Rob and I will now answer your questions.
Operator: (Operator instructions). Our first question is from Ghansham Panjabi with Robert W. Baird. Please proceed with your question.
Matthew Wooten - Robert W. Baird & Co.: Good morning. It’s Matt Wooten sitting in for Ghansham.
David Fischer: Good morning Matt.
Matthew Wooten - Robert W. Baird & Co.: I was hoping you could walk us through the volume trajectory for both rigid and flexible throughout the quarter and in particular is the volume weakness in Europe broad based or just specific to certain product lines?
David Fischer: We anticipated volumes would be a key portion of this conversation. So I’ll try to walk you through what I consider a very wide mixed bag of volume indicators around the world in an orderly fashion. So Rob covered some of the numbers in aggregated form and I’ll try to offer some color commentary. On a macro basis, only our paper business in Asia Pacific are up sequentially quarter over quarter for this year and for 2012 year-to-date versus 2011. The rest of the businesses remain below levels seen both quarterly sequentially year-to-date from 2011. However, we’ve experienced some slightly stronger volumes in comparison of Q1 versus Q2 both in North America and Europe, excluding our flexibles business which has remained relatively flat and I’ll come back to those numbers in just a second. Latin America is probably the one area that’s declined sequentially quarter over quarter in 2012, reflecting tougher economic conditions within the region as well as an entering of the low season within the region. Sequentially, if you look at our business from Q2 versus Q1 this year, North America rigid has increased a bit more than we expected. It varies region by region across the country more than what we had anticipated. But they generally fall in the 10% to 15% range for Q2 versus Q1 which again was a bit more than we had expected. For Europe, it’s almost a similar story to North America with the second quarter Q1 increase in the low double digits to high single digits range, say in the 8% to 12% range. again, wide variation depending on the region of the continent and I’ll mention Russia as a particular interesting market these days which has shown quite a bit of strength within the region, especially relative to western Europe. In Latin America, the volumes quarter over quarter have declined in the low single digit range. As I mentioned earlier, we’re still down the high single digits versus 2011 year-to-date. So, no sign of firming or recovering in Latin America just yet. In Asia, we’re up high single digits to low double digits Q2 over Q1 for 2012 and again it’s our only area of the rigid business which is both sequentially for quarter over quarter this year as well as up 2012 year-to-date over 2011. And if you take a look around the world and try to get a handle on what’s happening in recent days or even recent weeks, I would tell you that the watchword out of Europe, the watchword coming out of Europe, restructuring and caution most oftenly mentioned and we hear those from a wide base of our European customers, especially in the chemical industry. We’ve also noticed a slowdown in customer shipments from China into Western Europe, probably a reflection of the concern of the macroeconomic conditions in Western Europe. And in North America and Europe, probably the most interesting, the main markets they get the most press in recent weeks and days. We continue to see firming in North America in both paper business and in our rigid and industrial packaging business in recent days and weeks and to our bit of surprise better than expected pickup in our own Western Europe businesses in recent weeks to months – oh sorry, days to weeks, excluding again our flexibles business which has remained relatively flat.
Matthew Wooten - Robert W. Baird & Co.: Appreciate that level of detail. For a follow up, after another quarter of solid free cash flow generation, could you just remind us of your priorities for free cash flow allocation after obviously the dividend pay?
Robert M. McNutt: Yes, this is Rob. In terms of free cash flow allocation, we’ve got a long history of the dividend and clearly that’s an important component of it. Capital spending to maintain facilities under our current structure we believe is in the $85 million to $90 million range and that’s certainly a priority. We’ve said that we’ll spend $130 million this year on CapEx. We’re looking at some projects towards the latter part of the year potentially that are quick payback, high return. Whether we do them late this year or early next year may move that number around a little bit and then debt pay down obviously is a key component as you see reflected in what we’ve done with cash thus far.
Matthew Wooten - Robert W. Baird & Co.: Thank you and good luck with the rest of the year.
Operator: Our next question comes from the line of Phil Gresh with JP Morgan Chase. Please proceed with your question.
Phil M. Gresh - JP Morgan Chase & Co.: Hey, good morning guys.
David Fischer: Morning Phil.
Phil M. Gresh - JP Morgan Chase & Co.: Just want to follow up on the volume trends and as you look at your revised guidance, what are you assuming for volumes in the rigid business in the back half and is it basically in sync with the run rate that you’re seeing here exiting the second quarter and entering into the third quarter?
Robert M. McNutt: Yes, Phil, this is Rob and as we look forward, the market conditions that David described in terms of continuing to firm, although at a slower rate probably than we anticipated earlier in the year in Europe and continued solid performance in North America as we mentioned. As David mentioned, Asia-Pacific has been a bright spot for us in volumes and we continue to see – expect for the balance of the year that we'll continue to see year-over-year improvement there and Latin America continuing to be somewhat soft, but not materially different from what we've been seeing here in recent months.
Phil Gresh - JPMorgan Chase and Company: Okay. I mean at what point if you just kind of run rate the progress that you have been making here, what point do you turn positive on volumes in Rigid?
Robert M. McNutt: We have to gain back globally about another 5% if you’re talking about a year-over-year type number to go positive year-over-year.
David Fischer: Same structure basis.
Robert M. McNutt: Same structure basis.
Phil Gresh - JPMorgan Chase and Company: I guess let me just ask my question in a different way, because it seems like – I'm not sure about this, it seems like the volumes might still be down a little bit as we progress through the back half and currency is a negative. So if I look at the second half earnings from last year and the first half of this year and I just add all those up, it's something in the mid to high $400 million range on EBITDA and it seems like volumes might be down and currency is a headwind. So I guess I'm wondering what the offsetting positives are that would get it to the $500 million to $525 million or just correct me if I'm missing something in the volumes there.
Robert M. McNutt: Sure. I think as you may recall from David's comments that last year we started to see weakening in Europe in the third quarter in terms of volumes and we talked about that on our third quarter call and our fourth quarter call. And so expect that as we've seen some improvement in volumes here in the recent months and sequentially quarter-over-quarter, we certainly got a year-over-year easier comp in the back half of the year than we did in the first half of the year. And so that’s one component of it. The other pieces that fall into line there, you're exactly right on currency and I’m sure you've got a better forecast on currencies than we do, during the month of May we saw a significant deterioration in the Euro. And just to put that into perspective, it's about $1.2 million of operating profit for every $0.01 decline in the Euro for us. So if you run that math and depending on what your forecast on the Euro is, you come to that conclusion. The other pieces that you've got to continue to look at is you look at the cost structure and the work that David pointed out that our team in Europe has done to substantially improve the cost structure year-over-year. Those guys have taken a lot of cost out of the structure. And so I think that operating performance, we'll continue to see better operating performance relatively in terms of the income and cash flow performance versus the volume performance continuing to be a little softer. So I think put all those together and that's where we’re comfortable at this point with the $500 million to $525 million. Now again if the Euro continues to stay in this $1.24 range, that adjusts accordingly.
Phil Gresh – JPMorgan Chase and Company: Okay, thanks. And then just a follow-up question is with your Flexibles business, obviously the margins got a little bit worse there quarter-over-quarter, even I mean actually in the special items. So how are you thinking about that margin target that you have out there for 2015 at this stage? Does the volume challenges makes you rethink that at all?
Robert M. McNutt : It makes us look at it all the time. I don't know about rethinking or move off of it just yet. We remain committed to the 15% margin. We need to pick up sales and volumes over the next couple of years to the tune of around $200 million, $250 million over I guess the 36 month period to get to that type of level. Also recognize that during this time period when we are having startup costs for new capacities coming on, both Saudi hub getting ready to fire up over the coming months as well as our shipping sack business. They've also put a drag on margins, particularly when we are also at the same time consolidating the heritage network and still integrating four companies into one in Western Europe.
Phil Gresh – JPMorgan Chase and Company: Okay, thanks a lot.
Operator: Our next question comes from the line of Adam Josephson with KeyBanc. Please proceed with your question.
Adam Josephson – KeyBanc: Good morning everyone. Thanks for taking my questions. Rob, one question on operating cash flow. Did it benefit from the change in the euro or other non-working capital factors and if so, by what order of magnitude?
Robert M. McNutt: Yes. If you look during the quarter, we ended the quarter, I think our Euro dollar translation was about 132 during the quarter and the deterioration in the Euro really was material after quarter end. So it's not really a material factor during the course of the quarter.
Adam Josephson – KeyBanc: Okay. Just a follow-up on that. Have your free cash flow expectations for the year changed since last quarter?
Robert M. McNutt: We have not given guidance on free cash flow. Specifically we give the EBITDA guidance, but the major components that I spoke too in terms of EBITDA guidance now $500 million to $525 million. Still in that 130 range on CapEx with the caveat I mentioned earlier related to timing of some specific projects near the tail end of the year. And then continue to anticipate the core 20% cash taxes, continuing to anticipate similar interest, continue to be committed to the $25 million improvement in working capital year-over-year. So if you add all that together, depending on what your own forecast for income and how you feel about the EBITDA, we're still in the same ballpark.
Adam Josephson – KeyBanc: Thanks for that, Rob. And just one last one, regarding Europe. At what point will you determine if current business conditions in Europe represent something close to normal conditions such that you'd have to make a long-term decision about reducing your presence there?
Robert M. McNutt: Well, that's a tough call. We’re watching this thing daily and weekly and I'll only tell you that we'll make those decision when they get to the time where can't tolerate the cost of an operation that is in a certain market. We don't want to leave markets unless we have to and we're not to that point yet, but you read as much of the press as we do and maybe more. And the puzzling thing for us right now is that our business is still showing some signs firming there despite the macro economic conditions that seem to be deteriorating.
Adam Josephson – KeyBanc: Thanks for that. I appreciate it.
Operator: (Operator instructions). Our next question comes from the line of Gabe Hajde with Wells Fargo Securities. Please proceed with your question.
Gabe Hajde - Wells Fargo Securities: Good morning gentlemen.
David Fischer: Morning Gabe.
Gabe Hajde - Wells Fargo Securities: Two questions. One, can you talk about competitive pressures in Europe? And I think you guys mentioned in your prepared remarks a little bit of North America, but I may have misheard.
Robert M. McNutt: I can comment on either one of those. On a relative basis we're still seeing fierce competitive pressures in Europe. It varies region by region. I would say that some of the mature markets of Germany, Netherlands, France are probably the most acute, if you will, where you have a fair number of competitors who are all experiencing the same type of downturn. So it has been fierce. In recent months there has been some improvement in margins slight from where we were, but still fairly significantly off 2008 peaks and also still off versus same time period last year. So while it isn't going down any further, it's not dramatically improving and we don't anticipate it to improve from in the near-term anyway. In North America, we obviously have competitive pressures in commodity type business across-the-board, but it is less acute than Europe at this point in time.
Gabe Hajde - Wells Fargo Securities: Okay. And with respect to raw material, things have come off a little bit since April and that's I guess more meaningful for your quarter. Can you talk about any headwinds that you may have had in the second quarter and maybe how that transitions that tailwind in the back half of the year?
Robert M. McNutt: As far as current conditions on raw material and in second quarter, one thing to note that stands out above all the others is probably polypropylene, particularly not only globally, but in Europe. You're talking about having to pass through 25% to 30% increases in polypropylene during the time period, a little less in high-density polyethylene for sure. Steel has softened a bit in the global market in my opinion. Despite the rhetoric we hear from producers out there, the markets have slightly turned and for the first time in a while we've seen a divergence in steel pricing geographically around the world whereas before steel pricing was fairly uniform which, let's say not prevented, but alleviated the incentive to import across geographic borders steel supply to our operation. In recent times due to the softening in Asia you’ve seen steel prices achieve a level below, let's say, North America or Europe that have allowed some of that importation to resume. But all markets for steel I think have softened in recent times and we are anticipating a moderate softening both in steel and plastics for the back half of the year, at least for the foreseeable future, driven clearly by the economic slowdown and lower capacity utilization by suppliers.
Gabe Hajde - Wells Fargo Securities: Thank you very much.
Operator: Mr. Fischer, we have reached the end of the question and answer session. I would now like to turn the floor back over to you for further comments.
David B. Fischer: Thank you, Christine. If you would please turn to Slide 18. As I mentioned in my prepared remarks, we are encouraged by the record cash flow for the first six months of 2012 and progress regarding acquisition integration. We expect further achievements during the second half of the year which will help improve our performance, strengthen the balance sheet and position us for more profitable growth. I will now turn it over to Deb to provide replay information.
Debra Strohmaier: Thanks, David. A replay of this conference call will be available in approximately one hour on the Company's website at www.greif.com. We appreciate your interest and participation in this conference call this morning. This concludes today's teleconference. Please disconnect your lines. Have a meaningful day. Thank you.